Operator: Good afternoon, ladies and gentlemen. Welcome to the Cameco Corporation second quarter results conference call. I would now like to turn the meeting over to Mr. Bob Lillie, Director, Investor Relations. Please go ahead, Mr. Lillie.
Bob Lillie: Thank you and good afternoon, everyone. Welcome to Cameco's second quarter conference call to discuss the financial results. Thanks for joining us. With us today are four of Cameco’s senior executives. They are Gerry Grandey, President and CEO; Kim Goheen, Senior Vice President and CFO; George Assie, Senior Vice President, Marketing and Business Development; and Tim Gitzel, Senior Vice President and Chief Operating Officer. Also with us today is our colleague, Alice Wong, Vice President of Investor, Corporate and Government Relations. Each of the speakers will address highlights and issues of the quarter in their divisions and then we’ll open it up for questions. Today’s conference call is open to all members of the investment community and the media. During the question-and-answer session, we would ask that you ask one question only, followed by one follow-up question. If you have additional questions, please return to the queue until others have had an opportunity to participate. Please note that statements made during the call by the company regarding its objectives, projections, estimates, expectations or predictions may be forward-looking statements within the meaning of applicable securities laws and regulations. The company cautions that such statements involve risk and uncertainty and that actual results may differ from those expressed or implied. Important risk factors are outlined in the company’s annual information form dated March 30, 2007. With that, I will turn it over to Gerry.
Gerald W. Grandey: Thank you very much, Bob. Let me add my welcome to everyone on the call as well. I know that the investment community and many others have been looking for some good news from Cameco. I certainly share that sentiment. This morning, we delivered. Our revenue and earnings for the second quarter set new company records and our cash flow remains strong. For 2007, we expect consolidated revenue to grow by about 40% over 2006, primarily on the strength of our uranium business. These results are a reflection of management’s long-term focus on our business and a barometer for the kind of performance Cameco demands of itself now and moving forward. While individual quarters don’t necessarily project yearly totals, the strength of these results is a far better indication of the company’s potential than recent news. We fully appreciate that some investors have the burden or perhaps the luxury of a shorter term orientation. There are, of course, many uranium investments suited to that short-term focus. However, as our long-term investors are aware, Cameco operates in an industry that requires a long-term perspective, built from a position of strength and just for a minute, allow me, if you will, to give you a few examples. Our unmatched supply strength is built on a rock solid foundation of more than 500 million pounds of uranium reserves that include the highest grades in the business. We have a portfolio of exploration properties, partners and exploration staff that is second to none. We have been building this through an entire uranium price cycle. Our profitable uranium mines include some of the best production centers in the world. Our flagship producer, McArthur River, continues to produce at unmatched levels. Rabbit Lake continues to show more promise. I would also note that our U.S. properties are setting records and gearing up for additional production. Development at Inkai is on a positive track, and we continue to make progress in remediating Cigar Lake. I don’t know of anyone who is confidently predicting the uranium price a decade out but I do know that we have a powerful portfolio of uranium contracts that will consistently make strong contributions to our financial returns for a decade or longer, even if the uranium price is volatile. While the uranium spot market is showing weakness during a thinly traded summer, the long-term market fundamentals remain solid, driven by an industry with increasingly bright prospects. Cameco had demonstrated financial discipline, which has held us in good standing. It allowed us to pick up quality assets at a time when uranium prices were low because our contracting strategy ensured we had the cash flow to do so, and now when the market has reached heady heights, we are not forced to purchase properties at prices that would ultimately risk shareholder value. We are interested in value, not in bulk. Financial strength built on foresight and discipline are the trademarks we will continue to use while we shop for the right opportunities to grow further in an exciting era. I acknowledge that our last three announcements have impacted the perception of Cameco and were another contributing factor that added volatility to our share price last week. The confluence of these unrelated announcements share only the unfortunate coincidence of timing. Last week’s decline was aggravated by the down draft of the general market, the strengthening Canadian dollar, and the drop in the uranium spot price. The combination of all of these events was not helpful from an investor perspective. However, I note that Cameco’s share price did not track all the rapid increases in the uranium spot price, as investors correctly understood the composition of our contract portfolio and the anticipated realized prices. I should note as well that we are starting to see better pricing take hold as the impact of our legacy contracts diminish. Ultimately, Cameco's share price will reflect our core strengths, including our low-cost focus, contract portfolio, and our performance in the long-term. Our operational challenges are acknowledged and we are putting the people, infrastructure and plans in place to deal with them appropriately and expeditiously. We understand that our operational performance must improve from the top of the organization to the people on the front lines. Make no mistake about it, however, there are countless examples of operational excellence that are demonstrated daily within Cameco. At Cameco, we knew that events like Cigar Lake would have an impact on the confidence of our regulators, investors, and other stakeholders. Our management has renewed its commitment to excellence and accountability throughout the organization and that begins with me. As mentioned previously, I have put in place a new management structure for all of our operations led by Tim Gitzel. This structure separates producing operations and development projects and addresses lessons learned over the past year. A key component is the direction I have given to him to ensure renewed accountability at all levels. This structure affects our mining and fuel services divisions. Over time, this will provide additional oversight and direction to reinforce the need for excellence in all areas. We are also in the process of reorganizing the management team at Cigar Lake that will guide that outstanding project to production. Tim will have more to say about this in a few minutes. I have personally directed our operations group to strive for a new level of excellence, both operationally and environmentally, and that includes revitalization plans that have been announced for Key Lake, Rabbit Lake, as well as our other operations. I am absolutely confident these steps will pay handsome returns over time. In the short-term, we will earn back the confidence of our regulators and other stakeholders one step at a time, delivering on our promises and providing consistent and clear disclosure, even when the news is not positive. Shareholders who choose to continue with us on this exciting journey into the nuclear renaissance can expect to be rewarded over the longer term. Along the way, we will strengthen Cameco as an organization. We are resolved to couple strong operating performance with attractive market fundamentals. I thank you for joining us and I’ll now turn the call over to Kim. Kim.
Kim Goheen: Thanks, Gerry and good afternoon. Today I’ll review the highlights of our second quarter financial results and then comment on our current outlook for the rest of 2007. As Gerry said, our consolidated second quarter revenue and earnings were both quarterly records for the company, resulting from significantly higher realized selling prices and deliveries of uranium. We reported revenue of $725 million in the second quarter, which is about 75% higher than both a year ago and the first quarter of this year. As noted in our report today, in the second quarter of 2006 Cameco recorded one-time reductions of $73 million related to future income taxes. We adjusted consolidated net earnings last year to exclude those items. Our net earnings for the second quarter of 2007 were $205 million, or $0.55 a share, $128 million higher than the adjusted net earnings from the second quarter of last year. Earnings reflected a higher tax rate, amounting to 15% in the latest quarter compared with 9% a year ago, as a higher proportion of taxable income was earned in Canada. For the six months, net earnings were $263 million, compared with adjusted net earnings of $190 million in 2006. Uranium operations drove the earnings increase, with results from fuel services and gold businesses similar to a year ago and profits from the electricity lower due to reduced generation. Turning to our uranium business segment, revenue increased dramatically to $458 million in the second quarter, compared with the same period last year, due to a 61% increase in the realized selling price and a 100% increase in the reported sales volumes. The latest quarter also reflects recognition of $39 million of previously deferred revenue related to two standby product loans that were terminated in April. Earnings before taxes increased more than seven-fold to $214 million in the second quarter, from $28 million a year ago. Looking at fuel services, second quarter revenue was ahead 12% to $64 million. The decline in reported sales volumes was offset by an increase in the realized price. Including an estimate of $3 million for the Port Hope remediation, earnings were down slightly from a year ago. In nuclear power generation, pretax earnings from Bruce Power were $103 million in the second quarter, down from $118 million a year ago due to lower generation. Corporately, cash flow remains very strong, with cash from operations of $155 million in the second quarter, compared to $40 million in the same quarter of 2006. Based on this strong cash flow, the board has approved an amendment to our stock option program that enables eligible option holders to elect cash settlement rather than receive shares on exercise of the option. To the extent employees elect cash settlement, this reduces share dilution from the option program. Items to note as a result of this amendment are: Cameco will make the payment directly to employees. Payments by Cameco are tax deductible and from a financial statement perspective, stock options now become classified as liabilities instead of equity. As a result, in the third quarter we will record a charge to earnings of approximately $64 million after tax. Each quarter thereafter, we will adjust the liability and the amount expensed based on the share price at the end of that quarter. Turning to the third quarter, we expect consolidated revenue to be about 10% higher compared with the second quarter of 2006, resulting mainly from the anticipated higher sales prices for uranium and electricity. By segment, we expect reported sales volumes on uranium to decline to 8 million pounds in the third quarter from 11 million pounds in the second quarter of this year, reflecting variability of quarterly deliveries within a calendar year. Uranium revenue is expected to be similar to the second quarter due to higher realized prices. We expect revenue to be about 15% higher than in the second quarter at both fuel services, due to increased deliveries, and at Bruce Power, due to higher generation and higher spot prices for power. For the full year, we expect consolidated revenue to grow by 40%, largely as a result of higher revenue from the uranium business. We expect uranium revenues to be about 75% higher in 2007 than in 2006, due to a 70% increase in our realized price and a 5% increase in reported sales volumes to 33 million pounds. As previously disclosed, we have nearly 4 million pounds of U308 available to sell on the spot market. 3 million pounds have been committed for delivery in 2007 and we expect the remaining 1 million pounds will be sold either this year or next year. Turning to fuel services, revenue for the full year is expected to be nearly 5% higher than in 2006, due to an anticipated increase in the average realized selling price. Reported sales volumes are expected to be about 5% lower than in 2006. For Bruce Power, revenue is expected to be 7% higher due to higher projected realized prices. Our current estimate is lower than our first quarter projection for 2007 as a result of reduced expectations for realized electricity prices, which are sensitive to Ontario weather patterns. In summary, in the second quarter we achieved records for revenue and earnings and continuing strong cash flow, mainly reflecting higher realized uranium prices. We expect better overall results in the second-half of 2007 than we experienced year-to-date. For the longer term, we see strong fundamentals in all our markets, supporting our short-term projections and positive outlook. I will now turn it over to Tim for a review of operations.
Timothy S. Gitzel: Thanks, Kim and good afternoon, everyone. In the next few minutes, I’ll comment on the restructuring of our operations division, including Cigar Lake, a few operations highlights from the second quarter, and also the progress and potential at our Inkai project in Kazakhstan. Since I joined Cameco early this year, I’ve been reviewing the complete management structure of our operations division, which covers all uranium mining and fuel services sites, the safety, health, and environment group, and new programs focusing on technology and innovation, plus environmental leadership. As Gerry indicated, we clearly recognize that our overall operating performance must advance to a higher level of excellence. With that in mind, my goal in reviewing the organization has been to establish a strong team of senior leaders and technical experts to successfully manage our world-class asset base, including the stewardship of some of the world’s richest ore bodies. Today our new senior operations team is in place. I have the utmost confidence in the team’s experience and enthusiasm for leading our sites and programs forward to consistently stronger performance results based on clear responsibilities and accountabilities, and the team is moving forward already. We are acting to add more technical resources to support our mining and fuel services divisions. Since the beginning of 2007, we have added 29 technical specialists in various fields, including geology, metallurgy, engineering, safety, geophysics, quality, and radiation protection. At Cigar Lake, two new senior positions have been added to provide oversight to the development of this key asset. As Vice President of Major Projects, Bob Steen has now relocated to Saskatoon and is on the job. Bob is charged with improving our systems and processes to ensure existing standards are met and new standards are developed when needed. Also, a senior technical manager has been appointed to a new fulltime position to ensure the corrective actions we promise to make, subsequent to the TapRoot investigations, are followed up on expeditiously and I can report that he is now on the job as well. At Cigar Lake we are also in the process of hiring a new general manager and a new superintendent of health and safety. In terms of project work, I am pleased to report that the first phase of the plug pouring has now commenced and is going as planned. This phase consists of pouring a grout mixture in the area immediately downstream of the muck pile that came from the fault. The growth that has been poured will take a few days to set and then the plan is to start to pour concrete on top of the grout. So overall, we are making good progress but not as quickly as we had anticipated due to the extra precautions we are taking. In addition, we will be evaluating the merits of completing shaft two sooner than original scheduled and expect to have a decision by the end of this year. As we announced earlier this month, if it were decided that shaft two was a priority, it is expected that this plus the delay in de-watering the mine would shift first production into 2011. This is a challenging mining environment and our philosophy is to do it right, even if it takes a bit longer or costs a bit more. We are focused on the long-term success of Cameco and we will keep you posted on our progress with remediation. We expect to provide the next update with a news release on September 19, 2007. At Port Hope on July 13th, workers noticed uranium in the soil in the area of a pit dug through the floor of the UF6 plant. For those not familiar with our Port Hope operations, the UF6 plant is the larger of the two conversion plants located there and it produces UF6 for utility customers operating light water reactors. Further investigation showed the presence of other production-related chemicals in addition to the uranium in the soil. We are presently determining the scope and the source or sources of the leak. A set of samples taken 10 days ago from monitoring wells immediately around the plant perimeter show readings all within the normal range. So given what we know today, the uranium and process chemicals appear to be fairly localized in soil under part of the plant. We continue to bore additional test holes down to the water table from both inside the plant and near the exterior of the north wall of the plant. After drilling, these new holes have to be flushed a number of times before reliable readings can be taken and this process will take a few extra days to achieve. Hence we expect to have test results from these holes in the next several days. We are keeping the regulators informed and they have visited the site as well. We have hired outside geotechnical expertise to complement expertise within Cameco and ensure that the independent interpretations and recommendations regarding the leak and the remediation options are available to us and to the regulators. The next steps are to collect test data from all the new bore holes to help in defining the area affected by the leak, to confirm the source or sources of the leak, and with geotechnical consultants and the regulators review the options available to remediate the problem. Once we get to this point, we’ll have more clarity on the path ahead to get the plant back online. At that point, we’ll provide the market with an update. In the meantime, we have recorded a preliminary estimate of $3 million for remediation. Turning to other operations, McArthur River and Key lake and the U.S. ISR operations all had good production results in the second quarter and we expect this to continue through the year. At Rabbit Lake, production was below target as we made changes to the mining plan to bring on a new mining zone. Consequently, the 2007 forecast for Rabbit Lake has declined to 5.1 million pounds from 5.5, and accordingly forecast production from all sites is now 20.6 million pounds. At Inkai in Kazakhstan, construction and test mining continue to make good progress, with commercial production expected early in 2008. Production is planned to ramp up to 5.2 million pounds, of which 3.1 million pounds is Cameco's share, by 2010. George and I were in Kazakhstan recently to continue discussions with the Kazaks on a non-binding agreement we announced in late May. This anticipates the doubling of future production capacity to 10.4 million pounds on a timeframe yet to be confirmed. In addition, Cameco has agreed to study the feasibility of constructing a uranium conversion facility in Kazakhstan. I can report that we had good discussions with our Kazak partners on these matters. Finally, a brief comment on our most advanced exploration project, the Millennium uranium deposit, which is located about 35 kilometers, or 20 miles from the Key Lake Mill. Organizationally, we are advancing Millennium from an exploration project to a development joint venture with our Japanese and French partners. The feasibility work as discussed in the quarterly report is progressing, as is the project environmental assessment. This is an exciting example of an internal growth opportunity for Cameco and, if successful, we look forward to it contributing to our future production profile in Northern Saskatchewan. In summary, we have moved expeditiously to ensure we have a very capable team of senior leaders and technical experts to successfully manage our world class asset base and we continue to make progress throughout our operations, sharing lessons learned across our sites. Recent events have only strengthened our resolve to ensure that Cameco sets the standard for performance in our industry and realizes its full potential. With that, I will turn it over to George.
George B. Assie: Thanks, Tim, and good morning, everyone. Spot market activity in the second quarter was fairly light, amounting to about 4 million pounds and now totals about 11 million pounds in the first-half of this year, and that’s equivalent to about 60% of the volume transacted in the first-half of last year. The industry average spot price at quarter end was $135.50, which was up more than 40% from the $95 at the end of the first quarter, and almost triple from a year ago, at which time it was just under $46. This dramatic increase was driven by relatively small spot volumes often sold by auction. Since quarter end, the spot price has decreased to about $120. We are into the summer months, which is typically a period of weaker demand. Few utilities have uncovered needs for the remainder of this year and the amount of demand that may come from the other spot market players, being the traders, producers, and investor funds, is uncertain at this time, as the large increase in the spot price in the second quarter has caused some buyers to reevaluate purchases and move to the sidelines, taking a wait-and-see approach. For now, near-term spot demand has dried up significantly. On the supply side, there were three unsuccessful attempts to auction material in recent weeks and the Department of Energy is proposing to auction 200 tons UF6, with bids due in mid-August. So while supply may not all that large, there is presently more supply than demand in the spot market. Previously, spot sellers would only sell at market-related prices. More recently, some have reportedly been willing to submit unsolicited bids with fixed price offers and some of those have been making more competitive offers at lower-than-published prices in an effort to place near-term quantities. All of these factors led to the correction in the spot price which was not unexpected, given how dramatically it had moved up in the second quarter on very limited volumes. Spot activity in the third quarter is expected to remain low, as is traditional for the summer months. For the remainder of the year, spot volume will be dependent upon the actions of market participants, whether discretionary buyers remain in a wait-and-see mode and how aggressively sellers react to the downturn in demand. It is now expected that 2007 spot volumes will be more in the 20 million pound range, considerably less than the 33 million pounds transacted in the spot market last year. Given this outlook, we could very well see further decreases in the spot price in the near-term. However, we are talking about very limited volumes of supply and demand in the spot market and any sudden increase in demand or drop in supply could change things quite dramatically. Longer term, nothing has changed in respect to the underlying fundamentals of the uranium market. While utilities are well-covered for the next several years under supply contracts and modest amounts of inventory, uncovered requirements increased dramatically after that time. Meanwhile, the production response has been relatively modest, given the long lead times and challenges associated with bringing on new uranium production and producers are, for the most part, very heavily committed for the next several years. It is also important to keep in mind that the market continues to be heavily reliant on several large sources of supply and if things do not unfold as presently forecast, then we could see some very large swings in price. In summary, we expect significant price volatility over the next several years as the market responds to near-term requirements and supply adjustments. The average long-term price indicator at the end of the second quarter was $95, up 12% from the end of the first quarter and more than double from a year ago. Historically, long-term prices have been at a $1 to $2 premium over the spot price. This was due in large part to the buyer’s willingness to pay a slightly higher price in order to lock in a future price at a time when there was no concern about future supplies. The future supplies were assumed to be a given. In the second quarter, the rapid increase in the spot price fueled by auctions resulted in the spot price exceeding the term price by about $40. Cameco maintains a mixed portfolio of about 60% market related and 40% fixed pricing. We continue to sign contracts with both market and base escalated pricing, with our current weighting more to market related. Generally, our new contracting includes base-escalated prices near the then-current long-term price, at least for the first four or five years of the contract, for price protection and market-related contracts, no ceilings, and an average term of about 10 years. On another point, investors occasionally raise questions about our deliveries being greater than our production sources in both uranium and conversion. Let me be clear that we are well positioned to meet our delivery obligations for both uranium and conversion from our primary production and long-term purchases of secondary supply sources, primarily [HUC]. We also have significant protection in our contracts which allow us to reduce deliveries in the event of an unplanned reduction in our sources of supply. We have never been in a position where we are forced to purchase product in the spot market to meet delivery commitments. Given the high prices in the spot market, we have not been active buyers for quite some time. Moving to the long-term market, it remains active with the current estimate for long-term contracting in 2007 remaining at about 200 million pounds. Our quarterly release provides guidance on the average realized uranium price for 2007 as well as an update on the 10-year schedule of expected realized prices. I would like to draw your attention to the assumptions for that table and in particular the change in assumed sales deliveries from 35 to 30 million pounds annually. This has resulted in a reduction in prices in particular for 2008 when compared to previous tables. The reason is that it eliminates all uncommitted sales which would be assumed at the spot prices shown in the table. We have removed any trading opportunities for the next several years, so in that regard it is relatively conservative, I’ll say. Sales volumes in 2008 are likely to be above 30 million pounds. The impact of legacy contracts on all the long-term suppliers was highlighted by the recent publication of average prices by the U.S. Energy Information Administration and the EURATOM Supply Agency. The U.S. EIA reported that in 2006, the weighted average price per pound paid by U.S. utilities was $18.61, based on a total of 67 million pounds delivered. The EIA’s long-term contract weighted average price was $16.38, based on deliveries of 59 million pounds. In the case of European utilities, the EURATOM Supply Agency reported a weighted average price of about $19.13 per pound on total deliveries of 56 million pounds. And the price under multi-annual contracts, which took into account deliveries of 51 million pounds, was $18.55. These prices can be compared directly to Cameco's average realized price in 2006 of $20.62. Turning very briefly to the UF6 conversion market, prices in both the long-term and spot markets in both North America and Europe held steady over the last quarter, as well as for the past year. So that concludes my remarks and with that, I’ll turn it back to Gerry.
Gerald W. Grandey: Okay, George. Thank you very much. Operator, we’ll now open it up for questions.
Operator: (Operator Instructions) The first question is from David Snow of Energy Equities Incorporated. Please go ahead.
David Snow - Energy Equities Incorporated: Good afternoon. I’m wondering if you have reviewed or plan to review the design of the steel doors for the -- given that they were not totally effective here.
Gerald W. Grandey: David, I’ll ask Tim to answer that.
Timothy S. Gitzel: David, indeed we are reviewing both the mechanics and the utility, I would say, of those doors and whether we would use them going forward, so yes, that is under review.
David Snow - Energy Equities Incorporated: And the utility meaning whether or not you’d have to have some other approach besides the steel doors?
Timothy S. Gitzel: Just whether, given what we know today, whether those steel doors would serve the purpose that we initially thought of closing off the north end of the mine. So we’re reviewing that as well.
David Snow - Energy Equities Incorporated: What alternatives might there be?
Timothy S. Gitzel: Well, we are looking at doing more freezing. That’s going to be part of our plan going forward. More pumping capacity is part of our plan -- so we’re looking at all the different options.
Operator: Thank you. Our next question is from Raymond Goldie of Salman Partners. Please go ahead.
Raymond Goldie - Salman Partners: Good afternoon. When you say that in 2007 the effective tax rate is expected to be in the range of 10% to 15%, does calculating that tax rate include the $39 million reduction in deferred taxes that you’ll report in the third quarter?
Kim Goheen: No, it does not.
Raymond Goldie - Salman Partners: Thank you.
Operator: Thank you. The next question is from Greg Barnes of TD Newcrest. Please go ahead.
Greg Barnes - TD Newcrest: Thank you. George, in the 30 million pound of your sales guidance going forward, what sorts of supply are you assuming in there to get to that number, as of volumes?
Gerald W. Grandey: It is based upon our share of primary production and for the most part, HUC. What’s been eliminated here, and that’s why I called it a bit of a conservative assumption, Greg, is any assumed near-term trading activity as we go along and that caused the adjustment in the assumed sales level to 30 million pounds.
Greg Barnes - TD Newcrest: Okay, so you’ve assumed the elimination of the trading activity. There just seems to be more than I would have thought you were doing. I thought you were doing trading of 2 to 3 million pounds --
Gerald W. Grandey: And you’re not far off. When we look out and come up with this table, we’re trying to come up with an average. We look at over the long-term what’s a reasonable level of volume to be reporting on, because we don’t want to put out prices that vary by year depending upon volume by year. It gets a bit too misleading. We rounded down significantly here and that’s why when I said it in my remarks, the sales volumes in 2008 will very likely be above that 30 million pounds level and more in line with what you just suggested there. Probably closer to 33 million pounds.
Greg Barnes - TD Newcrest: And what impact would that have on your realized price then? Back up to the $75 level?
Gerald W. Grandey: Well, it would have a positive impact because all of that would be assumed at the then current spot price level.
Greg Barnes - TD Newcrest: Thank you.
Operator: Thank you. Our next question is from Bernie Picchi from Wall Street Access. Please go ahead.
Bernie Picchi - Wall Street Access: Could you explain to us just some of the parameters involved in the decision on the second shaft at Cigar Lake? You know, when you will make that decision and also, some rough idea of what the cost might be and also the approval process for that, from the federal government and the state government?
Gerald W. Grandey: I’ll ask Tim to respond to that.
Timothy S. Gitzel: What we are looking at is having a second means of egress or access or means of getting out of, I guess, the mine in place before we go back into the development, the mining areas, the higher risk areas. So we are talking to our regulators on that. It’s been discussed with our project officers. The decision really is one that needs to be reviewed by the joint venture partners. It’s a big decision to take. We’ve got some joint venture committee meetings coming up at the end of the summer, so it’s a big decision we’re looking at and as I say, we’ll be taking at the end of the summer. I don’t have a cost estimate for you now but our people are working on that.
Bernie Picchi - Wall Street Access: Could you give us also, just a follow-up, a little bit more information on the Millennium project and you’re talking about advancing that from project evaluation to development. What is the timeframe for that? Approximately what period of time would that decision be made on development? And then, once the decision is made to actually go ahead with the development, how long would that take?
Timothy S. Gitzel: That’s a project that, as I said, is 20 miles north of our Key Lake project. It’s a nice deposit. There’s 40 million to 50 million pounds in the ground. We are partners there again with the Japanese and the French. We’ve been working on that. It’s been an exploration project, an advanced exploration project up until now. We’ve come to the point where we’ve well delineated the ore body. We’ve been working on feasibility, pre-feasibility and feasibility studies. We are working on the environmental assessment that has to go in and be completed before it can go ahead, so that’s where we are at. We are moving it from an exploration, advanced exploration project to a development project. Now, that in Saskatchewan means probably another eight to 10 years before we would be in actual production. There’s three, four years for environmental assessment work and then probably the same for development and construction. So we are looking at the 2016, 2017 timeframe to bring that into production.
Operator: Thank you. The next question is from Andy Hoffman from The Globe and Mail. Please go ahead.
Andy Hoffman - The Globe and Mail: Good afternoon. Maybe you could just explain to me in more layman’s terms the reduction in the expected average realized uranium price on this chart here, because it looks rather dramatic, Gerry, and obviously it has a lot to do with reducing sales deliveries from 35 to 30 million pounds, but can you explain this a little more to me?
Gerald W. Grandey: Andy, just pretty simply, you’ve got so many parameters that are going on in the table and in forecasting what the realized price is going to be in the future that what we tried to do is simplify it a little bit for everybody and perhaps we’ve ended up confusing people more, but we’ve just tried to freeze, as we have in earlier tables, the volume so that all of the other parameters then can work. As George indicated, we did that with a fairly conservative estimate of future sales volumes, taking out the trading activity which we thought led to a little bit of confusion or misunderstanding in previous tables and so that’s the reason we settled on 30, understanding that in the next several years it is going to be higher than that and in some years, considerably higher than that. Once you get out four or five years, it becomes kind of less meaningful because, except from a standpoint of trying to forecast what the realized price was, our production assumptions are going to get updated every several years. We know that Rabbit shows additional promise, that we’re trying to expand Key and McArthur. We’re trying to double production down in the U.S., bring in [Inkai]. So all those factors are moving but for ease of reference, so that you get some sense of where realized prices are going, we tried to make a simplifying assumption and just say for the 10 year period, it’s 30 million pounds.
Andy Hoffman - The Globe and Mail: If I could just quickly follow-up, this is a fairly significant decline though in your average realized price, at least according to this chart. I’m just wondering -- is this not unfortunately a little bit more bad news for the company?
Gerald W. Grandey: Remember, profitability is the most important thing. So if you assume there’s trading activity in that chart, then you’ve got a higher cost base by virtue of what you are paying when you are trading uranium, right? So I think the underlying message is that the changes you see in that table will have very limited effect on Cameco's profitability over the period of time. That to us is the most important thing.
Operator: Thank you. The next question is from John Redstone of Desjardins Securities. Please go ahead.
John Redstone - Desjardins Securities: Good afternoon, gentlemen. Before we go any further, I really do need to clarify something. On page 12 of your report, you mention that you have mark-to-market gains on foreign exchange contracts of $84 million. In simple language, what is the impact on your second quarter because of that gain?
Kim Goheen: Very little impact in the quarter, as most of that, as it says on that line, the following line, that qualifies for hedge accounting, the $93 million of which will be then spread over the periods against which those contracts were designated. So that mark-to-market is a balance sheet, if I can use that word, number only. It is not the current period income.
John Redstone - Desjardins Securities: Good. The other question I wanted to ask was actually on your production. Could you give us a little bit more detail on plans and the status that you are at in terms of increase production, above what you have in your production forecast at McArthur River, at Key Lake? Those two to start with.
Gerald W. Grandey: I just kind of ran down it but we still have a pending request in for taking McArthur River/Key Lake up to 22 million pounds. That will be over several years. Once the regulatory approvals are given, we intend to double our production from 2.5 million up to about 5 million at least in the United States. Kazakhstan of course goes into commercial production in the early part of next year. We’ll head to 5.2 million pounds, as we’ve said in the past, by 2010 and we are making good progress on taking it to 10.4. Rabbit Lake, we’re very conservative because of the way in which we report reserves but happily, our geologists continue to find lots of additional uranium, which hopefully over the years will bring it into the reserve base and it hopefully will allow Rabbit to continue a number of more years. And then, of course, Cigar is in the remediation progress, and as Tim indicated I think we are making great progress at Cigar. I want to say one thing, too. Bernie, you had raised the second shaft. The second shaft, of course, is the one that we’ve been, has been partially sunk, probably about halfway sunk when it too experienced a water inflow event last April, April of -- sorry, 2006. So it’s been part of the mine design. It’s just a question of do we accelerate the completion of that shaft -- it isn’t that we, that all of a sudden it dawned on us we needed a second egress. That’s always been part of the mine design so there isn’t a whole lot of extra cost in a decision to complete it early. It just will have an impact on the sequencing that goes on in the rest of the mines. So I just want to clarify it isn’t a brand new activity. It is something that had always been part of the mine design.
Operator: Thank you. The next question is from Borden Putnam of Eastbourne Capital. Please go ahead.
Borden Putnam - Eastbourne Capital: Good afternoon. Tim, if I could ask you a question or two about McArthur. Nobody’s touched on that. Looking at the quarter, you speak about there’s been some progress in one area and slowed progress in another as far as the advancing development for the two future mining zones. Which zone is giving you the trouble and why?
Timothy S. Gitzel: Well, it is just we are drilling our freeze holes into the new areas, zone 4 and panel 5, zone 2. So that’s -- I’m not sure if it is giving us trouble. We’re just slower than we planned, so it is moving along. We are taking, like we are in all of our projects, extra precaution everywhere to make sure we are doing things right, Borden.
Borden Putnam - Eastbourne Capital: I appreciate that, Tim. It’s just that in the press release, you are quite specific. You said you are meeting targeted rates in one area and experiencing delays in the other. Is it panel 5, zone 2 that’s giving you the trouble?
Timothy S. Gitzel: I think it is the zone 4 that’s behind, but I’d have to check that to confirm.
Borden Putnam - Eastbourne Capital: Okay, I’d appreciate and update on that. When these come into plan, Tim, what are the mining rates out of them? Is it equal for each one? Are they about half the production or is there still coming out of zone 2 in 2009 when these zones are supposed to be prepared?
Timothy S. Gitzel: We’ll be winding down the production from the zone 2 areas we are in and then ramping up the other, 4 and panel 5 at the same time. I don’t think they are 50-50, but they will be replacing the existing zone 2 work we are doing.
Operator: Thank you. The next question is from Fadi Shadid from Friedman, Billings, Ramsey. Please go ahead.
Fadi Shadid - Friedman, Billings, Ramsey: Thank you. Could you expand on the potential for Inkai to double volumes? When will we hear how feasible that is and what is it going to take?
Gerald W. Grandey: From a feasibility perspective, it is evidently feasible because there’s lots of uranium out there and it’s just a question of getting in well fields as well as the treatment capacity, the processes that are needed to develop well fields and then collect and precipitate out the uranium. It takes a while. The infrastructure takes a while to put in place but we’ll begin to integrate all of that into the schedule. As we bring the first 5.2 million into production, we’ll get after increasing it to 10.4 as quickly as we can.
Fadi Shadid - Friedman, Billings, Ramsey: Thank you.
Operator: Thank you. The next question is from Murray Lyons of the Saskatoon Star Phoenix. Please go ahead.
Murray Lyons - Saskatoon Star Phoenix: Yes, I was wondering, your joint venture partner in Cigar Lake in Japan, Tepco, has had some problems recently with I guess their biggest nuclear plant on the earthquake zone. I’m wondering if that shutdown has affected near-term requirements, and does it have any effect on the deferred production from Cigar Lake in easing the situation in terms of what you have to supply?
Gerald W. Grandey: George.
George B. Assie: No, I don’t think it has any impact at all. Tepco’s the largest utility and nuclear utility in Japan. They have significant demand overall and I understand that the delay that they are looking at may take them to 2008 or maybe a little beyond, but we don’t expect that will have any impact on deliveries to Tepco in any respect.
Gerald W. Grandey: And Murray, their share of Cigar Lake is 5% of the expected production, so it would not -- given the amount of uranium they use annually, it would not have any real significance for them.
Murray Lyons - Saskatoon Star Phoenix: Okay. Very good.
Operator: Thank you. The next question is from Greg Barnes of TD Newcrest. Please go ahead.
Greg Barnes - TD Newcrest: I just want to return to that chart again, George. If there’s 2 million to 3 million pounds of trading volume that you would do in any one year, I guess the margins on that would be relatively thin. Am I right?
George B. Assie: Yes.
Greg Barnes - TD Newcrest: So that shouldn’t have that significant an impact on the bottom line?
George B. Assie: Not on the bottom line but it would have a -- it could show a significant impact in that chart, and so that’s why it provides a more accurate look, if you will, perhaps of going to the 30 million pounds by removing all that trading volume.
Gerald W. Grandey: I’ll come back to my comment about profitability over the 10 year period.
Greg Barnes - TD Newcrest: Okay, and just a second follow-up; if the utilities the next several years are largely covered, how do you think the spot market is going to develop in terms of pricing movements? I guess it is discretionary purpose or financial players are going to drive it completely now.
George B. Assie: I think it going to be, as I said in my remarks, I was trying to, or the point I was trying to make is that I expect it will be relatively volatile over the next several years. Well, utilities are well covered. Producers are fully committed. Some of the buyers this year have been producers but there’s not large uncommitted volumes of material available to feed into the market. To the extent that you have any unexpected demand or utilities want to start to accumulate material or need to and there’s any glitch anywhere on the production side, you would have volatility to the upside. But for the time being, you are right that if investors, investment funds are not particularly active, then that’s why I said we could see further weakness over the near-term.
Operator: Thank you. The next question is from Steve Bonnyman from McLean Budden. Please go ahead.
Stephen Bonnyman - McLean Budden: Thanks. I think it’s partly been addressed here but Gerry, I would just like to go back to your point. What you are implying then is that the margins are actually going to expand. The two tables that we look at on this price comparison from Q1 to Q2 really aren’t comparable anymore because we are talking about an exceptionally different business base. Can you give us some sort of scale or descript evaluations as to what sort of impact we could see on the actual margins per pound of sale, if we think about the table that we saw in Q1 and the table that we saw in Q2 that has 20% lower prices?
Gerald W. Grandey: Kim’s dying to answer that.
Kim Goheen: Steve, really aren’t going to get into margins for you but just to reiterate the points from both Gerry and George, trading activity historically we have done because we entered trading opportunities because we expect them to be profitable. Historically, that has proven to be the case. But by no means should anyone get the impression that there are large margins in trading activity. Remember, this is buying in the spot market, hold for a while and turn around and sell it. So that’s the material that we’ve taken out of this forecast.
Stephen Bonnyman - McLean Budden: Historically, Kim, some of your trading revenues per se were under long-term contract where you would opportunistically capture material at lower prices and then resold it, perhaps many years later under your own long-term contracts. What I am sensing from this is that those really aren’t as big a part of the business that they used to be and that perhaps the trading activity really is more reflective of short-term trading. Would that be fair?
George B. Assie: No, that would not be fair. The long-term purchase commitments are significant and certainly as you know, the HUC agreement runs through 2013, so those are reflected in this table, et cetera. The point Kim is making is that historically we have always been active as traders in the near-term market as well, and while profitable, not to the extent that given current spot prices and our production costs, the margins are not that large. So that’s what’s been removed here, is all of the near-term trading margins, not the long-term purchase. Those are firmly in place.
Operator: Thank you. The next question is from Shirley [Louie] from [Gramercy] Capital Management. Please go ahead.
Shirley Louie - Gramercy Capital Management: Thank you. I would just like to clarify one item. Does your current EPS include any of the $84 million FX gains?
Kim Goheen: There is $9 million -- well, there’s a number of spots in here but if you go to page 12, you will see that we’ve broken the $84 million into two pieces. $93 million, which qualifies for hedge accounting, and then $9 million that will be expensed as we go along, so a piece of that has already been reflected through earnings since inception. Not all in the second quarter but since the start of those contracts. We amortize them as we move along here. So some portion has been included but it is a small amount.
Shirley Louie - Gramercy Capital Management: Okay, in that case is it possible to give me any color -- is it $0.01, $0.02, on your current second quarter EPS?
Kim Goheen: No, I’m sorry. I don’t have that but it’s not a big number, no.
Shirley Louie - Gramercy Capital Management: Great. Thank you.
Operator: Thank you. The next question is from Robert Delaney of Bloomberg. Please go ahead.
Robert Delaney - Bloomberg: I don’t want to belabor the point about the chart but just to avoid any misinterpretation, I was wondering, can you give us just a range for your forecast for average realized price in 2008 compared to 2007?
Gerald W. Grandey: What we try to do is provide general guidance at this moment in time, here we are in late July of 2007. In our business, there are moving parts. I think it would be -- I think the best evidence we can give you right now is what’s in that table. As time moves on next quarter, then we’ll update it with a bit more current information on what is going to happen in 2008. George has already indicated that volumes are going to be greater in 2008 than the 30 million pounds. We’d have to dig deeply I think into the portfolio to figure out exactly what it does to the average realized price right now, but we’ll refine it, work on it, and so next quarter we’ll update it based upon more current information.
Robert Delaney - Bloomberg: Is it safe to say then, just putting some of the pieces together, is it safe to say that the average realized price, you are forecasting that to be a bit lower next year, taking into account that a lot of the -- you’ll see less in the way of spot trades, taking into account that you’ll see that many of the utilities are well supplied for the moment.
Gerald W. Grandey: We’ve stripped out the trading activity, short-term trading activity.
Operator: Thank you. The next question is from David Cargill from Cormack Securities. Please go ahead.
David Cargill - Cormack Securities: Just a quick question -- well, two quick questions. One is on the 4 million pounds of spot material that you had for sale in 2007. You state that approximately 3 million pounds would be committed for sale at spot market prices. Have those spot prices been determined and set, or are they closing at a later date within 2007? And I guess the remaining 1 million pounds will be placed on the market under long-term contracts, so you are not effectively saying the spot really has converged with the term price? And then, on another question, what is a good effective tax rate that one should use for 2008?
George B. Assie: In terms of the sales that were committed for this year, basically the prices have been realized or are identified already for those sales. And the remaining 1 million pounds that we said is likely now to go into long-term contracts, if it goes into a market related contract, it will be the spot price at the time of delivery. If it goes into a fixed price contract with deliveries in ’08, then it would be near to the term price.
David Cargill - Cormack Securities: Okay, and then with regard to the effective tax rate for 2008?
Kim Goheen: We really haven’t disclosed that yet anywhere. I would have you focus back on the past few years and at this point, I would not expect a dramatic change from what we’ve done over the past few years. But it really does depend on where the income is generated, which countries and so on. And we will be giving that number later this year.
Operator: Thank you. (Operator Instructions) The next question is from Orest Wowkodaw from Canaccord Adams. Please go ahead.
Orest Wowkodaw - Canaccord Adams: Good afternoon. I’m still a little bit confused by your new table on your expected realized uranium price. Because if I look back to what you said before, at $140 at next year’s pricing, you were previously expecting a realization of $76 on the higher volume. But if I take a weighted average of your new table now at $140 at $58.50 and add 3 million pounds of spot at $140, that would only get me a realized price of $66, or $10 below the previous guidance. I was wondering if you could help me reconcile that.
Gerald W. Grandey: But you just added 3 million pounds. The previous guidance was on 35 million pounds. So you would have to add 5 back if you are trying to reconcile --
Orest Wowkodaw - Canaccord Adams: Okay, even if I add 5 back, that would only increase my realization to 70.
Gerald W. Grandey: Okay, so then the difference could be in some part related to the fixed price portion of our portfolio, new term contracts with near-term deliveries. 2008 deliveries that would be more related to the current term price.
Orest Wowkodaw - Canaccord Adams: So you’ve basically entered in more contracts versus previous that would have been spot?
Gerald W. Grandey: I think that’s the point. It’s a constantly evolving table and underlying assumptions, and so since Cameco is always writing new contracts, both market related and fixed, it is very difficult to compare one table against an earlier version and come up with a simple explanation as to why they are different.
Orest Wowkodaw - Canaccord Adams: But in effect then, you are lowering your expected realized price because you’ve entered in new contracts then.
Gerald W. Grandey: It will depend a lot on what the spot price is at the time of delivery.
Operator: Thank you. The next question is from Stu Kedwell of RBC Asset Management. Please go ahead.
Stu Kedwell - RBC Asset Management: Thanks. My question was asked and answered. Thank you.
Operator: Thank you. The next question is from David Snow of Energy Equities Incorporated. Please go ahead.
David Snow - Energy Equities Incorporated: Two questions; one, I’m wondering if you have a current estimate of world production versus last year’s world production? Secondly, in the mechanics of those doors, are you considering a guillotine type of steel door?
George B. Assie: On world production, our current estimate for 2007 is 115 million pounds versus last year was 103 and the year before that was 108.
Timothy S. Gitzel: David, on the doors, not something we’ve considered, the guillotine type but interesting thought and I’ll put it to our engineers.
Operator: Thank you. The next question is from Borden Putnam of Eastbourne Capital. Please go ahead.
Borden Putnam - Eastbourne Capital: Tim, back to you again, if I could and before I go to current question, I want to try to finish the first one. I had asked you why the zone 4 lower was taking a bit longer. Is there a geologic difference between it and panel 5 zone 2 that is causing the problem? How can you help me understand that?
Timothy S. Gitzel: I’m not sure it’s so much of a technical problem as it is getting the machines and the people to run the machines in there. I just have some notes out of bay 12, the freeze drilling where we are doing the freezing from -- we have 37 of 92 holes completed and we’re just behind on that. When they were asked the question at the weekly meetings, it’s a question of more manpower than any big technical problems.
Borden Putnam - Eastbourne Capital: Okay, I appreciate that. Let me go on to the next question, that relates to the Key mill thing we talked about last time with regard to your remediation and hopeful expansion there. You put out a document to the CNFC on December 15th that was titled the Action Plan for Remediating the Selenium and Molybdenum, and in there there’s three phases of work and each one requires about a year’s work or effort on your part. You are in phase one right now and I’m curious -- the first part of the question is when you finish phase one, it looks like there is a report that is required from CNFC staff to be delivered to the commission so that they can review the efficacy of phase one. What time constants and what work is involved for staff to prepare that report? In other words, when you finish phase one, how long do you sit on your hands before you know what the outcome of that is and whether it is efficacious?
Timothy S. Gitzel: Phase one involves, for the most part, putting a thickener in the bulk neutralization circuit. It’s a thickener that thickens and settles out some of the selenium and moly that we’re having trouble with. We hope to have that done early in the new year. We’ve got local contractors working on that I think I heard early in the new year and then we want to have some results from that prior to we go back for relicensing mid-year, mid- to third quarter of 2008 for Key Lake, so we want to have some results from that to see the effect is -- is it acting as predicted, settling out some of the heavy metals that we are wanting to settle out. So that’s phase one and then depending on the success of that, I think we move successively to phases two and three which have more to do with water handling.
Borden Putnam - Eastbourne Capital: Right, so it sounds like it’s sort of end of first quarter or mid 2008 is when you might be handed the ball again to go ahead and start phase two, which looks like another year’s worth of work on your part, according to the Gantt chart that you submitted on December 15th. Am I reading this right?
Timothy S. Gitzel: I don’t have that in front of me and I wasn’t here at that time but I have seen it and your timing is about right. It is about mid-’08.
Borden Putnam - Eastbourne Capital: Okay, and then there’s another review panel commission meeting and so forth before phase three. And then phase three again is another year’s worth of work. So this is sort of a four-year out deadline.
Timothy S. Gitzel: I’m not sure all of those phases -- we’re hoping that we may not have to get to phase three, at least, depending on the results of the first --
Gerald W. Grandey: My apologies, but we’re getting way into too much technical detail. Operator, how about one more question and then we’ll end the conference call.
Operator: Thank you. The next question is from Bernie Picchi from Wall Street Access. Please go ahead.
Bernie Picchi - Wall Street Access: Gerry, I guess a question for you or Kim. Can you explain your thinking strategically in your decision not to support the UEX rights offering funding?
Gerald W. Grandey: George, can you deal with that?
George B. Assie: We didn’t see that it provided Cameco with any advantage and in fact, as you may know, given our equity holding in UEX, we have certain rights and so that offering was counter to those rights over the longer term and that was primarily the reason we saw no benefit to supporting it, or no reason to support it. It was as simple as that.
Bernie Picchi - Wall Street Access: So you’re saying effectively that the UEX program, the capital program that was obviously the object of the funding, the rights offering would have diminished value, your value in the company or diminished value to UEX?
George B. Assie: I’m sorry. I thought you were referring to something else. I must admit that I’m confused now as to what you are referring to.
Bernie Picchi - Wall Street Access: This was the rights offering that UEX was going to have you own 21% of UEX and you decided not to support it, therefore the rights offering did not go through. Are we talking about the same thing or are you talking about something else?
George B. Assie: We’ll talking something totally different. Sorry.
Gerald W. Grandey: I think you’ve got us confused now. We’ll have to get back to you offline on that one, I think.
Bernie Picchi - Wall Street Access: All right. Okay.
Gerald W. Grandey: Sorry. We’re all shaking our head on that one.
Operator: Thank you. This will conclude the questions from the telephone lines. I would like to turn the meeting back over to Mr. Gerry Grandey for his closing remarks.
Gerald W. Grandey: Only to say thank you very much for joining us. I apologize a little bit for the confusion about the table. I think we will make a real attempt here to clarify the questions that have been asked so it’s a little bit clearer, but remember there are inherent assumptions in it and I think it is better to take it as information that is useful for trending over the longer term and not depend upon the last that happens to be quoted in the table. So thank you again for joining us and have a good afternoon.
Operator: Thank you. The Cameco Corporation second quarter results conference call has now ended. Please disconnect your lines at this time. We thank you for your participation and have a great day.